Operator: Good day and welcome to the Steve Madden Ltd., Fourth Quarter 2014 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Jean Fontana of ICR. You may begin.
Jean Fontana: Thank you. Good morning, everyone. Thank you for joining us today for the discussion of Steve Madden’s fourth quarter 2014 earnings results. Before we begin, I would like to remind you that statements made in this conference call that are not statements of historical facts constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve risks and uncertainties and other unknown factors that could cause actual results of the company to differ materially from historical results or any future results expressed or implied by forward-looking statements. These statements contained herein are also subject generally to others risks and uncertainties as described from time-to-time in the company’s reports and registration statements filed with the SEC. Also please refer to the earnings release for information on risk factors that could cause actual results to differ. Finally, please note that any forward-looking statements used on today’s call cannot be relied upon as current after this date. I would now like to turn the call over to Ed Rosenfeld, Chairman and CEO of Steve Madden.
Ed Rosenfeld: Thanks, Jean. Good morning, everyone and thank you for joining us to review Steven Madden’s fourth quarter 2014 results. With me to discuss the business is Derek Browe, the company’s Director of Finance and Investor Relations. Our company faced a number of challenges in 2014, including a tough retail landscape, a lack of significant fashion footwear trends and towards the tail end of the year headwinds from the West Coast port slowdown as well as challenges caused by production delays on goods from Mexico. The result was financial performance for the fourth quarter and full year 2014 that was not up to our standards. In the midst of this challenging year, however, we remain steadfastly focused on what was controllable in our business in order to ensure we are well-positioned for future growth. To that end, we made a number of investments during 2014 that we believe strengthened the business and enhanced its growth prospects for the long-term. During the year, we added two strong brands to our portfolio with the acquisitions of Brian Atwood and Dolce Vita. Brian Atwood is the first true global luxury brand in our portfolio and we believe there is significant untapped potential in both Brian Atwood and the B Brian Atwood diffusion brand. We will be relaunching B Brian Atwood for fall 2015 with a product assortment that will include both footwear and handbags. In Dolce Vita, we acquired one of the premier contemporary brands in the footwear industry and a strong complement to our portfolio as it targets the customer and price points that we do not address with our other brands. While Dolce Vita is a powerful brand with a loyal following and a well-earned reputation for outstanding design, there are significant opportunities for operational improvement in this business. Inventory management is one such opportunity and in fourth quarter our first full quarter of ownership we moved aggressively to clear out excess inventory and Dolce Vita was diluted to earnings by approximately $0.03 per share. Going forward we believe we have a solid plan in place to improve gross margins and rationalize expenses. We think we can begin to see modest EPS accretion from this acquisition in the back half 2015. In addition to adding a couple of strong brands to our portfolio during the year we also further expanded our footprint in international markets acquiring our distributor in Mexico and forming a joint venture in South Africa. On December 30, we closed the acquisition of our Mexican distributor SM Mexico. SM Mexico has marketed the Steve Madden brand in Mexico since 2005, distributes products in the wholesale channel as well as 21 Steve Madden branded retail stores. We see great opportunity in Mexico and plan to continue to grow in this important market by enhancing our presence in leading department stores like El Palacio de Hierro and Liverpool, expanding into new wholesale accounts, growing our retail store base and introducing certain of our other brands like Dolce Vita into the Mexican market. In addition we expanded our partnership with House of Busby in South Africa during the year. We have worked with Busby as our distributor for the Steve Madden brand in the country since 2011. Based on the success we have seen thus far elected to expand the partnership by forming a joint venture. We now own 50.1% of the business in South Africa, which includes four Steve Madden retail stores and 20 Steve Madden shop-in-shops in the leading South African retailer Edgars. On top of all of that during the year we launched a new interactive e-commerce site that enables stronger brand engagement with our customers. The new stevemadden.com integrates social sharing, editorial commerce and improved targeting to offer customers a speedier and superior shopping experience, particularly on mobile devices. We have been pleased with the results thus far which include a nice improvement in conversion rate on this site. We have also gotten a great feedback from consumers. They enjoy being able to interact with both the brand and other Steve Madden fans in more and deeper ways and they are responding to the ability to draw fashion, music and lifestyle inspiration from this site. Overall, we made significant progress on a number of key initiatives in 2014 and remain focused on continuing to make important investments in our future as evidenced by our acquisition of Blondo last month. Blondo was 100-year-old brand that specializes in weather resistant footwear that marries fashion with function. With 70% of Blondo’s business done in Canada currently, we see significant expansion opportunity in other markets, particularly the United States where the brand is performing well at retailers like Nordstrom, but remains underpenetrated. Given the seasonal nature of the product, we expect that this acquisition will begin to benefit earnings in the back half of 2015 and be slightly accretive for the full year. Finally in 2014, we also returned $142 million in capital to our shareholders in the form of share repurchases. We bought back 4.3 million shares during the year or over 6% of the company at an average price of $33.38. As we look forward we are encouraged by a number of positive signs we are seeing currently, including emerging fashion footwear trends, improving performance in our retail stores and better sell-throughs at our wholesale partners on new spring product in both footwear and handbags. That being said, we are cautious on the first half of the year, given challenging comparisons on our wholesale business, the lingering impact from a tough 2014 and the impact of the West Coast ports slowdown as well as earnings dilution from Blondo and Dolce Vita, both of which we expect to be EPS accretive for the full year, but which will be dilutive in the first half. When we reach the back half all those issues should be behind us and based on the positive trends we are seeing as well as the benefits from the acquisitions and other strategic initiatives we outlined earlier, we believe earnings will inflect resulting in earnings growth for the full year of 2015. Sum it up, while 2014 was a challenging year, we managed our business with discipline and focused on making strategic investments that we believe will enhance our growth prospects over the long-term. Today, our core Steve Madden business remains a market leader, our portfolio of brands is stronger than ever, and we are making progress on a number of growth initiatives that should enable us to grow the business in 2015 and for years to come. Now, I would like to turn it over to Derek to walk you through the details of the financial performance for the quarter.
Derek Browe: Thanks, Ed and good morning, everyone. Our consolidated net sales for the quarter were $342.6 million compared to prior year net sales of $342.9 million with a modest increase in our retail business offset by a slight decrease in the wholesale business. Our wholesale net sales in the quarter were $270.9 million compared to $273.4 million in the prior year fourth quarter. Wholesale footwear net sales were $197 million as compared to $199.4 million in Q4 of 2013. Excluding sales from Dolce Vita, sales for the wholesale footwear segment were $182.3 million, an 8.6% decline versus the prior year with decreases from both branded and private label businesses. In wholesale accessories, we recorded net sales of $73.8 million in Q4 compared to $74 million in the prior year period. During the quarter, we saw solid gains in both our Betsey Johnson and private label handbag businesses, which were offset by declines in Steve Madden and Big Buddha handbag businesses. In our retail division, net sales were $71.7 million compared to $69.5 million in last year’s fourth quarter. Comparable stores sales in the quarter decreased 2.3%. We did however have sequential improvement during the quarter and comps turned modestly positive in December, our first month with positive comps in over a year. During the quarter, we opened two full price stores and four outlet locations. We also acquired 21 retail locations in Mexico with the closing of our acquisition bringing us to 160 company operated retail stores, including 32 outlets or e-commerce stores and 4 joint venture stores in South Africa. Turning to other income, our commission and licensing income net of expenses, was $2.3 million in the quarter versus $2.6 million in last year’s fourth quarter. First Cost commission income net of expenses was down while licensing royalty income net of expenses was up modestly. Our consolidated gross margin in the quarter was 34.3% as compared to 37.8% in last year’s fourth quarter. Our wholesale gross margin was 27% versus 31.8% due primarily to increased markdown allowances, the impact of Dolce Vita and higher freight costs resulting from the West Coast port issues. Gross margin in the retail division was 61.7% compared to 61.4% as a result of decreased promotional activity versus the prior year. Our operating expenses were $87.8 million in the fourth quarter or 25.6% of net sales compared to $79.5 million or 23.2% of net sales in the same period last year. The increase in operating expenses as a percentage of net sales is the result of deleverage on lower organic sales and the impact of Dolce Vita. Operating income of the quarter totaled $32 million or 9.3% of net sales compared to last year’s fourth quarter operating income of $53.6 million or 15.6% of net sales. Operating income in the fourth quarter of 2013 included a $1 million benefit related to the recovery from prior year’s text message litigation settlement. Excluding this benefit, operating income for the quarter of 2013 was $52.6 million or 15.4% of net sales. Our effective tax rate for the quarter was 35% and net income for the quarter was $21 million or $0.34 per share diluted compared to $53.7 million or $0.54 per share diluted in the fourth quarter of 2013. Net income for the fourth quarter of 2013 included the aforementioned benefit. On an after-tax basis, the benefit positively impacted fourth quarter 2013 by $600,000 or $0.01 per share dilutive. Excluding this benefit, net income for fourth quarter of 2013 was $35.1 million or $0.53 per diluted share. Now, I would like to just briefly touch on our full year results. Consolidated net sales for the full year increased 1.6% to $1.33 billion compared to $1.31 billion in 2013 as the increase from the Dolce Vita acquisition was offset by declines in our organic business. Operating income for the year totaled $167.6 million or 12.6% of net sales compared to 2013 operating income of $202.9 million or 15.4% of net sales, including the aforementioned benefit related to the recovery from prior year’s text message litigation settlement. Our net income for 2014 was $111.9 million or $1.76 per diluted share. This compared to net income of $131.4 million or $1.97 per diluted share, excluding the after-tax impact of the text message litigation settlement. Turning to our balance sheet as of December 31, 2014, we had $203.1 million of cash and marketable securities and no debt. We ended the quarter with inventory of $92.7 million. Excluding inventory associated with Dolce Vita, SM Mexico and our South African JV inventory totaled $83.4 million compared to $73.7 million in the prior year. The increase in the inventory was driven primarily by an increase in our in-transit inventory due to the West Coast port issues. Our on-hand inventory excluding the acquisitions was only up 1.6% versus the prior year. Excluding the acquisitions, consolidated inventory turn for the last 12 months was 10.7 times versus 10.3 times in the prior year. CapEx in the quarter was $5.7 million and during the quarter we repurchased 1.3 million shares for approximately $40.5 million bringing our total repurchases for the year to approximately 4.3 million shares for $142.2 million. Turning to our guidance for fiscal 2015, we expect that net sales will increase 7% to 9% over net sales in 2014. Diluted EPS for fiscal year 2015 is expected to be in the range of the $1.85 to $1.95. As Ed touched on earlier, earnings are expected to be more back half weighted this year compared to 2014. Now, I would like to turn over the call to the operator for questions.
Operator: Thank you. [Operator Instructions] We will go first to Erinn Murphy of Piper Jaffray.
Erinn Murphy: Great. Thanks. Good morning. I was just hoping, Ed, that you could maybe speak a little bit more about the cadence of earnings and sales this year. I mean, you have talked briefly about it being more back half weighted, but if you could just maybe give some further context? And then maybe what some of the lingering issues could still be given the port congestion? That would be helpful. Thank you.
Ed Rosenfeld: Sure. Yes. Well, as we indicated in the prepared remarks, we do expect EPS to be down in the first half of the year and to be up in the second half of the year and obviously up more in the second than it’s down in the first and that’s how we get to the full year guidance that we put out there. In terms of sales, we will be down in first quarter, flattish in second quarter, and then we should see growth in each of Q3 and Q4. And the second part of the question is about the port? Is that right?
Erinn Murphy: Yes, it’s on the port, I mean, kind of what you are seeing currently, clearly there is a little bit of resolution this weekend, but it seems like there is still some backlog, but just how do we think about that going through the supply chain if you balance between your wholesale and retail?
Ed Rosenfeld: Yes. I mean, we are very pleased that they have reached an agreement, but there is going to be an impact in both Q1 and Q2. To some degree, there has been some damage that’s already been done. Some of that is quantifiable and some of it is not. We do know I think what’s easier to quantify is that there is additional freight expense that we have incurred and will incur related to this. So, there is additional airfreight and to a lesser degree there is some additional expense associated with some of the product that we have diverted to the East Coast. So, you are looking at, at least, I would say a couple of million bucks more around $0.02 a share in additional freight so far. And depending on how long it takes them to move through congestion that’s there right now that could go up a little bit, but I think what’s actually more impactful and really is harder to quantify is what’s already – the damage that’s been done, because we are already late with spring delivery. So, when you are late, there is a number of impacts. Number one, there could be some cancellations and we have to find somewhere else to go with those goods and close them out. So, that’s one potential impact. Number two, you may have to give discounts to certain retailers to get them to take the goods in. And then additionally, even when the goods do hit the floor, because they are getting there late, it’s a shorter selling season. So, number one, it could impact the overall seasonal sell-through, which might mean more markdown allowances at the end of the season. And number two, it’s definitely going to impact the reorders. And that’s something I think that we are very cognizant about as we look at our second quarter that we do think that this port issue was going to impact reorders for second quarter. And then I think the last thing I would point out is because we do, do some upfront or program business with shoe chains and off-price retailers, because folks like TJ Maxx is an example of an off-price retailer, because they I think are pretty confident that given this disruption there is going to be a lot of excess inventory that they can buy in season opportunistically. They are going to be less inclined to place a lot of orders upfront. So, there is an impact there as well. So, there is a whole bunch of ripple effects from this port slowdown. The good news is based on the agreements they reached on Friday, we do believe that this should really be behind us after Q2, but it’s definitely going to be a challenge for the first half of the year.
Erinn Murphy: Thanks for all that. That’s very helpful. And then just last on your retail business, it does seem like you have had some kind of emerging trends that have started to really pickup in the first quarter, could you just talk a little bit more about what’s working and kind of any kind of key nuances between your store portfolio, southern versus northern that are really starting to turn right now? Thanks.
Ed Rosenfeld: Sure. Well, I take the second part first. One of the things that is encouraging for us is that we are seeing stronger results in our warm weather locations. That’s something that we started to see in December and that has continued throughout first quarter running the double-digits in places like Florida and California double-digit positive. So, that’s very encouraging and that’s really on the strength of our new spring merchandise. And there is a couple of a few different things working, one of the things we have called out is closed-up casual category. And that could include espadrilles that include some of our fashion sneakers. And one of the things we like about that category is that it’s what we call transitional footwear. And so in some of the years – recent years, there hasn’t been a lot between boots and sandals. And so these closed-up casuals or shoes that the customer can buy when she is looking for to start to get into spring merchandise, but isn’t quite ready to be wearing an opened-up sandal. So, that’s encouraging. We are also seeing some really nice trends in dress shoes. I think the last top two shoes in our retail stores the last couple of weeks have been dress shoes. And we have got some single-sole dress shoes that are working. We have also got one or two out of bigger platform, a chunkier platform that are working well. So, that’s a category that we are feeling good about.
Erinn Murphy: Great, thank you. I will let someone else jump in the queue. Best of luck.
Ed Rosenfeld: Thanks, Erinn.
Operator: We will go next to Camilo Lyon of Canaccord Genuity.
Camilo Lyon: Thanks. Good morning, Ed. Hi, Derek.
Derek Browe: Good morning.
Ed Rosenfeld: Good morning.
Camilo Lyon: So, just following up on the comment you just made, Ed, about double-digit comps in warmer weather markets, traditionally or historically have – have double-digit comps in warmer markets resulted in a similar rate of comp growth for the overall base. How telling and indicative is those markets for the overall store portfolio once you kind of get through the fall season?
Ed Rosenfeld: Well, I don’t think we can say that just because we are up double-digits in those warm weather markets that we are going to be up double-digits everywhere else when the weather turns, but it’s definitely a positive indicator. I think if you look at – more at a business for instance there are other things that are driving some nice performance in South Florida, but it’s certainly a positive.
Camilo Lyon: Fair to say that what’s working well there should also work in the rest of the country once the weather reaches that point?
Ed Rosenfeld: Yes. I am really sorry.
Camilo Lyon: Great. And then on the transitional product that you talked about we have been hearing great things about it as well, can you talk about what kind of risk factor there is for that product being that it’s been brought in for spring and it’s – a lot of it’s sitting on the boats on the West Coast, what’s the mark down risk of that product or maybe said in another way is there another part of the season or part of the year that you could sell that product?
Ed Rosenfeld: Yes. I mean I think the good thing is that this is a product that’s not necessarily limited to one season. When we talk about transitional product, this is stuff that’s going to work as we transition from fall to spring and then we believe it will also work as we transition from spring to fall. So a lot of this should be very good, let’s say around back-to-school time.
Camilo Lyon: Great, so there is – so the way that I read that is there is little markdown risk to that product even though you are missing some of the spring selling window?
Ed Rosenfeld: Yes, certainly less than other types of seasonal products.
Camilo Lyon: Okay, great. And then just thinking about Dolce Vita and the cadence there, it sounds like you are focusing on right sizing the profitability of the business structure and that just starts to benefit EPS in the back half I think you mentioned 2016 that’s – is that the year where you start to focus on the reacceleration of the top line and if that is the case how do you think about what kind of growth you want to inject into the brand and is it more SKU growth, store growth or international growth?
Ed Rosenfeld: I think definitely 2016 is when we would be looking to grow sales in Dolce Vita, again not going to put a target on that yet. But I think there is opportunity in a lot of the areas you mentioned I think there is going to be some distribution channel opportunity. There are some retailers we think in the U.S. where they are very underpenetrated that we will be looking to accelerate that starting the back half of ’15, but really going into ’16. We are getting very nice interest in the brand from international partners. And Mexico is a place we are actually very excited what we are seeing with going to go into both El Palacio de Hierro and Liverpool this year, which is really unheard of for a brand to be able to launch in both of those simultaneously, I should say unusual I don’t know if it’s unheard of. And then potentially we will be looking to expand into other categories where we have a lot of interest in folks about Dolce Vita apparel license.
Operator: And we will go to our next question from Jay Sole from Morgan Stanley.
Jay Sole: Hey. Good morning.
Ed Rosenfeld: Good morning.
Jay Sole: Could we talk about your gross margin outlook for 2015 and would it be possible to kind of maybe talk about what the impact of West Coast port issues you are having or maybe the impact of new businesses and whatever else might be driving it one way or the other?
Ed Rosenfeld: Sure, I think that we are really looking for gross margins to be approximately flat for the year. And keep in mind that Dolce Vita is the negative in 2015. Dolce Vita we expect to negatively impact us by about 60 or 70 basis points, but we think the organic business can be up to offset that, so we are really looking at flattish gross margins.
Jay Sole: Okay. And then if we think about just the West Coast port as you know increased air freight things you were talking about in prepared remarks and earlier how much do you think that is going to have a negative impact on gross margin and is that more of like I assume a first half issue?
Ed Rosenfeld: Yes. Definitely that’s going to – that will impact us in the first half and it’s hard to quantify exactly what that will be, it could be 50 or 60 basis points something like that. But we think we have some opportunity in the organic business particularly on the retail side for improvement versus last year. And so that’s how we think that we can get to flat organically – assuming flat overall.
Jay Sole: Got it. And then just one more just talking about the sales that you expect to add to the business from the new businesses from Brian Atwood and Dolce Vita and Blondo, can you just give maybe – is it possible to quantify what that’s going to contribute to overall sales growth for the year?
Ed Rosenfeld: If we look at all of the acquisitions combined, I think you are looking at round numbers, $120 million from the acquisitions. Keep in mind, that’s not all incremental, because I think we did about $29 million in the back half with Dolce Vita.
Jay Sole: Got it. Alright. Thanks, guys. Thanks so much.
Ed Rosenfeld: Thank you.
Operator: We will go next to Jeff Van Sinderen of B. Riley.
Jeff Van Sinderen: Good morning. Just a couple of questions as follow-up. Ed, what are you seeing so far in the quarter as far as your retail comps, I know you said December turned positive?
Ed Rosenfeld: We don’t really – we typically do not provide quarter-to-date comp performance. I think that all we have said is that we do expect to be positive for the – for Q1. I don’t think we are going to provide any more detail beyond that.
Jeff Van Sinderen: Okay. And then on Q1 just the order of magnitude, I know you said you expected revenues to be down anymore you could give us on that in terms of should we think down low single-digits? I know you only usually give guidance for the year. And then any other sense of where you think how much earnings might be down in Q1?
Ed Rosenfeld: Well, we typically don’t really provide quarterly guidance. I don’t want to get into too much more detail, but if you want to think of sort of low to – I’d say maybe 3% to 5% in sales growth and yes, EPS I am not going to get into any more specifics anyhow?
Jeff Van Sinderen: Okay, fair enough. And then would it be fair to say that overall the reaction of the product platform at the recent Vegas platform show was positive overall?
Ed Rosenfeld: It was. I think people are really encouraged by the early selling on our spring product. And so, sentiment is a little better than it has been over the last year or so.
Operator: And we will go to our next question from Taposh Bari of Goldman Sachs.
Taposh Bari: Hey, guys. Good morning. Another follow-up on product trends, Ed, most of last year you were speaking about strong casual athletic trend that proved challenging for your business. It seems like your tone has obviously turned more positive. So, I guess what’s changed, does the trend has changed, are you better equipped to compete in that trend or do you think that the Steve Madden brand actually has more credibility in casual athletic than maybe a year ago?
Ed Rosenfeld: I do think that our assortment in that category is stronger right now, but I also think that the trend is evolving a bit and there are while overall fashion sneakers is still an important – continues to be a very important trend, what we are seeing is a lot of customers who are interested in playing that trend, but we have more of a fashion twist. So, I think that whereas earlier in the trend lot of customers who just wanted the basic, they wanted the traditional converse or traditional bands, obviously those brands are still doing well, but we are now seeing fashion customers. As you know, I’d like to have a sneaker, but I want something a little different, maybe I want the quilting material that Steve Madden is doing or maybe I want a double-decker, a higher version. And so we are having a lot of success with those types of fashion versions of sneakers.
Taposh Bari: Got it. And do you think that the retail community has kind of picked up on that as well and reallocating shelf space accordingly?
Ed Rosenfeld: I do. One of the frustrations though for us with the West Coast port slowdown was we know that we were a little bit of a year where it was going to be a show me year. We weren’t – coming off of 2014, we couldn’t expect huge upfront orders from our wholesale customers. We knew we have to get the products in, show them the selling and then chase the goods and we feel that we are in a – with the product that we have and the sell-throughs that we are getting, we are actually in a position to do that although some of this disruption because of the West Coast port has hurt our ability to do that in first half.
Taposh Bari: Got it. And I guess that hurts everybody, right, in theory, right – everybody is reporting it. Okay. Just a couple of quick ones on guidance just kind of factual questions, first, the Canadian currency is that impacting your earnings at all in ‘15 and if so how much? Two, share repo, was that reflected in your current guidance? And three, are you expecting any growth out of your organic business in ‘15?
Ed Rosenfeld: Sure. So, in terms of Canada, yes, there is approximately a $0.02 negative impact from the currency. In terms of the third part of the question was organic sales growth correct?
Taposh Bari: Organic EPS growth, I think sales growth comes out to around flat to $0.02 is what I backed into based on what you had said earlier.
Ed Rosenfeld: Right, okay.
Taposh Bari: You can correct me if I am wrong and then EPS growth?
Ed Rosenfeld: No, you got it right. You got it right. Since I haven’t heard, I think at the high-end of the guidance, yes, there is modest EPS, but I’d have to do that pencil that out frankly.
Taposh Bari: Okay.
Ed Rosenfeld: Definitely not in the first half, but definitely the organic earnings are down in the first half and up in the back half. And then Derek, do you want to address the share repurchase, what’s in the guidance?
Derek Browe: Yes. So, all things equal, we will remain committed to our share repurchase program. Our Board actually approved an additional $150 million to that program on Friday. So, we will likely to continue at a similar pace than what we have been doing $30ish million a quarter now having said that we haven’t done much of anything this year to-date. So, it could be slightly down, we might look to $100 million to $120 million for the year.
Ed Rosenfeld: In the guidance is $100 million.
Taposh Bari: Got it.
Ed Rosenfeld: So, if we continue at the pace of last year, there is a little bit upside to that.
Taposh Bari: Perfect, thanks guys.
Ed Rosenfeld: Thank you.
Operator: We will go next to Kate McShane of Citi Research.
Unidentified Analyst: Thank you. Hi, Ed. It’s [indiscernible] on for Kate. Most of my questions have been answered, but hey, can you give a little more color on how the inventories look at retail currently. Are you guys light overall across categories from the port disruptions? And given the colder weather in the Northeast, just the lack of inventory is bigger than issue? And then finally, are there categories in addition to the transitional product, where you guys can maybe prolong in the spring season?
Ed Rosenfeld: Okay. So, in terms of inventory in the channel, yes, I think in some cases it’s a little bit light. Obviously, the cold weather has helped people move through their leftover fall stuff or a fall holiday product. And then because of the port, there has been some delays in spring delivery. So, I would say that inventory is a little bit light out there. What was the second and third part of the question?
Unidentified Analyst: Just given the colder weather in the Northeast and is the lack of inventory is bigger than issue right now as consumers aren’t really facing colder temperatures? And then also if there might be other categories aside from the transitional product where you can prolong the season?
Ed Rosenfeld: Sure. Yes, okay. Yes, I mean I suppose that I think that, that’s right that in places where there is very cold weather, it’s less of an issue that the spring merchandise isn’t there. In terms of prolonging the season, one of the things that we have seen is that when spring breaks late, then it tends to last longer or spring selling breaks late, then you tend to sell deeper into the year of spring merchandise. So, if it continues to be very cold and in certain parts of the country and we don’t see spring break until later, then hopefully we will be able to extend the selling season on sandals and other spring merchandise.
Unidentified Analyst: Okay, thank you.
Ed Rosenfeld: Thanks.
Operator: We will go next to Jessica Schmidt of KeyBanc Capital Markets.
Jessica Schmidt: Thanks for taking my question. Just first, given your focus on fast turning inventory, do you think that the port delays had a greater impact on your inventories than your competitors? And do you think that this might have caused you to lose some share in wholesale?
Ed Rosenfeld: I do think it’s definitely a challenge for a company like us that has this fast turned model and we rely on our speed to market and we turn our inventory very quickly. So, it’s not like we have a lot of inventory nowhere in the warehouse to fulfill demand in a time like this. In terms of did we lose share, I don’t really – I don’t believe so. No, I mean, the good news is this is getting resolved or looks to be getting resolved. And at this moment, we are seeing pretty strong sell-throughs, really I think outpacing those of the competition. So, I don’t see any risk of losing share over this.
Jessica Schmidt: Okay. And just as a follow-up, can you talk about some of the competitive trends you are seeing accessories, I guess specifically in handbags, I know that you have made some adjustments to your assortment to be more competitive in the promotional environment, so can you just talk a little bit more about this and how the lower price product is performing?
Ed Rosenfeld: Yes. So, I think that the big thing is that in Steve Madden, we are starting to see some improvement. We are seeing better sell-throughs on the floor that business was down, again it was down for us in 2014 and it was down again in Q4. But we believe that we are going to return to year-over-year growth in Q1 of 2015. And we worked very hard to introduce some edgier and more directional and fashion forward products in Steve Madden and we are getting a very good response to that. We think that for a while, we have gotten a little too basic in that brand in terms of our styling. So that’s something we’re encouraged by. Our Betsey Johnson brand has been very strong all the year that was really a pretty strong outperformer in that PBC category, I think one of the leading if not the best selling through brand in that category for the department stores in 2014 and so we continue to have very strong momentum there looking for another strong double-digit gain in that brand in Q1 ‘15 as well. So overall I think we are starting to feel better about the trends in our branded handbag business.
Jessica Schmidt: Thank you. I will pass on.
Operator: We will go next to Scott Krasik of Buckingham Research.
Scott Krasik: Hi, good morning.
Ed Rosenfeld: Good morning.
Scott Krasik: Just a couple of clarification questions on the guidance. So I knew, you don’t want to go too deeply, but again just can you confirm, so you said that total sales on 1Q would be down about 3% to 5%?
Ed Rosenfeld: In that range, yes.
Scott Krasik: Okay. So then given that you will get….
Ed Rosenfeld: I am sorry, I may have misspoken. I was attempting to be given organic.
Scott Krasik: Organic. Okay, that’s fine.
Ed Rosenfeld: So, I apologize if I misspoke earlier. It should be 3% to 5% including the acquisitions.
Scott Krasik: Okay, good. Thank you.
Ed Rosenfeld: 3% to 5% on a reported basis.
Scott Krasik: Okay, that’s helpful. And then I know you want – having a heart attack here. So, just how would you frame the assumption, you talked about a lengthy list of what could go wrong with the West Coast slowdown resolution, but can you just sort of frame, are you assuming a lot of those issues in the current guidance about loss sales and selling to off price?
Ed Rosenfeld: Yes. I mean, I think what we know to-date, we have included in the current guidance.
Scott Krasik: Okay. That’s good. And then it just seems like this is very early for dress to be trending it – I think it usually falls off after holiday, so what do you make of that category and how big is that remind as a percentage of your sales?
Ed Rosenfeld: I mean we are very encouraged by what we are seeing in dress shoes and we feel that’s going to be a category that will be on the upswing this year. It’s about a quarter of our women’s business – for women shoe business.
Operator: And we will go to our next question from Corinna Freedman of BB&T.
Corinna Freedman: Alright. Hi, good morning, guys. Just I wanted to dig into your retail gross margins and obviously very positive there. Could you break out the acquired Mexican stores versus the existing portfolio, is it that the Mexican stores maybe have much higher gross margins? And then if you could talk about square footage growth for the upcoming year, any store closings, any openings or do you also expect to acquire more international or more JVs in the upcoming year?
Ed Rosenfeld: Yes. In terms of gross margin, Mexico is very – is in line with our overall retail margin, so that’s not the driver of the improvement that we are expecting for 2015. We are expecting improvement in the core business based on less promotional activity. In terms of openings and closings, Derek do you want to talk to that?
Derek Browe: Yes. We expect from a full price store standpoint a net 3 to 4 openings will be primarily in Mexico and Canada, offset by a couple of closures, from an outlet standpoint 5 to 6 outlet openings in the year we expect.
Corinna Freedman: Okay. And then finally…
Derek Browe: Just clarifying that it’s actually 3 to 4 openings right and then offset by a similar number of closings, I think flat overall.
Corinna Freedman: Okay, great. Thanks. That’s helpful. And then if you guys can talk about your tax rate guidance for the upcoming year and your interest expense it seems to be a little bit low this quarter, if you can talk about that for the full year and that’s all I have? Thank you.
Ed Rosenfeld: Derek do you want to do with tax and then I will talk about interest.
Derek Browe: Sure. On tax, as we expect that 2015 rate would be in line with our full year rates of 2014, which ended up around 34.3% with our growth international, the investments, we are making there we would still be able to benefit from using that international cash as well as benefiting from some of the state [indiscernible] benefits we had this year. And then interest, definitely you do have to look at that as lower in ‘15 than it was in 2014. Our cash balance is lower than it was a year ago as we have used cash for not only share repurchases but for the acquisitions.
Corinna Freedman: Okay, that’s helpful. Thank you so much.
Operator: We will go next to Steve Marotta of CL King & Associates.
Steve Marotta: Ed, good morning, you mentioned a few cent negative delta due to Canadian currency, are there other exposures that you can speak to as it pertains to ’15?
Ed Rosenfeld: For FX?
Steve Marotta: Correct, besides Canada, correct?
Ed Rosenfeld: Well, the only other meaningful impact to us is going to be in our Mexico business and so we have compared our accretion estimates for that business modestly due to what’s happened with that peso.
Steve Marotta: Okay. As it pertains to your read and react model do you fly in everything that you are trying to get reads on or does the West Coast port issues cloud your ability to read some of the newer styles?
Ed Rosenfeld: We fly in everything – can you repeat the question?
Steve Marotta: Do you fly in all new styles that you intend to get reads on or does the West Coast port issue clouded all your ability to read and react at this moment?
Ed Rosenfeld: No, I don’t think it’s hurt us. I don’t think it’s hurt our ability to read and react. I mean we are certainly – it’s not hurting our ability to read, it hurt our ability to react a little bit.
Steve Marotta: Right, that’s what I was driving at. And lastly and I am sort of reading between the lines that February weather dislocations that have played most of the East Coast you are not letting anything at the feet of that yet, is that accurate. In other words there is no necessary margin degradation or change in the promotional cadences that you expect either in stores or in the wholesale channel based on what’s going on February to-date?
Ed Rosenfeld: Yes. I wouldn’t say that there is anything meaningful at this point that changes the way we think about the business in the first quarter.
Steve Marotta: Perfect. Thank you.
Operator: We will go next to Danielle McCoy of Wunderlich Securities.
Danielle McCoy: Good morning guys. Could you just talk about what you are seeing in the men’s right now and what your outlook is for Men’s for 2015 and going forward?
Ed Rosenfeld: Yes. Men’s has been a real bright spot. It was up 18.5% -- our wholesale men’s business up 18.5% in Q4. It was up high teens for the full year of 2014. We have got a lot of nice momentum there. Chukka boots continued to be outstanding for us. We are having a lot of success for spring with some mix materials. Our casuals are improving. So we are very encouraged by what we see in the men’s side. And we are looking for a double-digit gain in ‘15 as well.
Danielle McCoy: Alright, great. Thanks guys. Good luck.
Ed Rosenfeld: Thank you.
Operator: [Operator Instructions] We will go next our Sam Poser of Sterne, Agee.
Sam Poser: Hi. Thank you for taking my question. Hi, Ed. The – what are your same-store sales expectation for the full year in the guidance?
Ed Rosenfeld: We don’t give that guidance.
Sam Poser: And then you talked about the buyback, but can you just give us an idea of what kind of average shares outstanding you are talking about for the year?
Ed Rosenfeld: Yes, it should be around 61 in there.
Sam Poser: And just starting off at 62 and then going down over the year kind of thing?
Ed Rosenfeld: Yes, something like that.
Sam Poser: I mean, I am just trying to make sure – I want to make sure I am on the right work with you guys on this.
Ed Rosenfeld: Yes.
Sam Poser: And then when you think about your product mix now compared to the way it was a year ago and where you are going, I mean, I would assume that the response you are getting for spring was good and the response as you moved through the year just based on what you have said gets significantly better, just what people looking out the tradeshows and so on?
Ed Rosenfeld: Can you repeat that?
Sam Poser: Well, I mean, the point is, is that you are guiding very cautiously from a top line perspective for the first half of the year and then you are saying things really will get better in the back half. So, I assume that’s a combination of organic improvement in the product that people are seeing for fall as well as the addition of Blondo and Dolce started to get going?
Ed Rosenfeld: Yes. And frankly, the comparisons are easier in the back half as well.
Sam Poser: And just to clear, I just missed it, when you said it before, the first half of the year – the first quarter you said business will be down 3% to 5% on an organic basis or is that a total base?
Ed Rosenfeld: That’s organic. Again, maybe I should just clarify this, because I do think – maybe it sounds like I misspoke earlier. With the business from a top line perspective should be up in all quarters on a consolidated basis?
Sam Poser: Could you give us an idea of how much it should be up in the first two quarters, because that’s where….
Ed Rosenfeld: It should be up single-digits in the first half and low doubles in the back half. Okay. And my comment about being down in the first half and up in the back half was on the organic sales.
Sam Poser: So, when you are saying singles, I mean, I assume you are talking about low to mid in the front half and then low doubles in the back. I mean, I think is that a first statement?
Ed Rosenfeld: It’s a lot of detail.
Sam Poser: Well, you gave us low doubles in the front half, so is it low single…
Ed Rosenfeld: Do you have another question?
Sam Poser: I will bother you later. Thank you.
Operator: At this time, we have no further questions. I would like to turn the call back over to Mr. Rosenfeld for any additional or closing comments.
Ed Rosenfeld: Great. Well, thanks so much for joining us on the call. We look forward to speaking with you after the first quarter call – on the first quarter call. Thanks.
Operator: That does conclude today’s conference. We thank you for your participation.